Operator: [Foreign Language] Good morning, ladies and gentlemen, and welcome to the Transat Conference Call. Please note that this call is being recorded. I would now like to turn the conference over to Andrean Gagne, Senior Director of Communications, Public Affairs and Corporate Responsibility. Please go ahead, Ms. Gagne.
Andrean Gagne: [Foreign Language] Hello everyone, and thank you for joining us for our third quarter earnings call ended July 31, 2025. Annick Guerard, President and CEO; and Jean-Francois Pruneau, our Chief Financial Officer; will provide an overview of the quarter and comment on the current operational situation and commercial plans. Jean-Francois will also discuss our financial results in detail. We will then take questions from financial analysts. Questions from journalists will be taken offline after the call. The conference call will be conducted in English, but questions may be asked in French or English. As usual, our supplementary disclosure has been updated and is available on our website in the Investors section. Jean-Francois may refer to it when he presents the results. Our comments and discussion today may include forward-looking information regarding Transat, outlook, objectives and strategies that are based on assumptions and subject to risks and uncertainties. Forward-looking statements represent Transat's expectations as at September 11, 2025, and are therefore subject to change after that date. Our actual results may differ materially from any stated expectation. Please refer to a forward-looking statement in Transat's third quarter news release available on transat.com and on SEDAR+. With that, I would like to turn the call over to Annick for opening remarks.
Annick Guérard: Good morning. Thank you for joining our third quarter conference call for fiscal 2025. Over the quarter, we improved our operating and financial performance with a 4.1% increase in revenue to $766 million and adjusted EBITDA of $81 million. These results are in line with our expectations. That said, the beginning of our summer season produced mixed results. On the one hand, we are pleased by the performance of our South program. Although this was the offpeak season, demand exceeded expectations as traveler preferences shifted away from the U.S. in favor of Mexican and Caribbean destinations. On the other hand, lower industry demand for transborder traveling resulted in a reallocation of capacity to transatlantic routes in addition to planned increases. This shift in supply created a more challenging environment for European destination in our peak season, but we have been able to hold our ground with a relatively stable yields. Looking at our operating metrics. Capacity expressed in available seat mile increased 2.4% over last year with capacity for transatlantic routes up 4.2%. Customer traffic expressed as revenue passenger miles increased 1% over last year, reflecting continued demand for leisure travel. Yield improved 2.6% year-over-year as a result of higher traffic and disciplined capacity growth, thus maintaining the positive momentum experienced since the beginning of the year. Our load factor stood at 85% compared to 86.2% in 2024. Turning to our Elevation program, benefits began to materialize as anticipated during the quarter. The positive impact of the program, combined with higher revenues, rigorous control of operating expenses and lower fuel cost resulted in improved operating profitability. Exactly 1 year ago, we launched Elevation with the goal of generating $100 million in annual adjusted EBITDA by mid-2026. We remain on track to achieve our target and drive results through cost reduction and revenue generation initiatives. Turning to our operations. I am pleased to report a fifth consecutive quarter of improved on-time performance. Our operational discipline rooted in our culture allows us to offer a quality experience to our customers while maintaining tight control over our expenses. We currently have a fleet of 43 aircraft, of which 6 are grounded due to the ongoing Pratt & Whitney GTF engine issue. We expect that number to gradually improve for the upcoming winter season. Needless to say, this burden has significantly affected our performance for over 2 years now, even though we are doing everything we can to minimize its impact. As announced last month, we completed a sale and leaseback transaction for 2 additional spare engines, which were part of the compensation received from Pratt & Whitney for grounded aircraft for 2025. Jean-Francois will provide additional details on the transaction in a few moments. Turning now to our network expansion. Since the last quarter, we announced new nonstop service from Toronto to Istanbul, Turkey, operating twice weekly starting in December. We have also established a partnership with Turkish Airlines to strengthen service between our 2 countries, offering consumers more travel options to destinations across the Middle East, Asia and Africa. We also announced new nonstop service to Rio de Janeiro, Brazil, with 2 weekly flights from Toronto and 1 weekly flight from Montreal, offering Canadian travelers more opportunities to explore South America. These additions are part of an extended winter offering, which includes 14 new routes. For next winter, we will also be adding frequencies on several existing high-performing routes to the South and across the Atlantic, reinforcing our commitment to strengthening our core network. Altogether, our enhanced winter schedule represents about 5% to 7% capacity increase compared to last year, mainly driven by the gradual return to service of aircraft currently grounded along with higher aircraft utilization. This expansion reflects our ongoing efforts to diversify the network and broaden our international footprint. We will be announcing additional destinations for 2026 in the coming months, further building on this momentum and unlocking new growth opportunities. We are targeting high potential markets with strong VFR demand and low seasonality, which help drive year-round traffic. Importantly, the strong performance observed to date of recently launched routes supports our diversification strategy. Longer-haul routes such as Rio and Istanbul play a key role in maximizing aircraft utilization and allowing us to optimize fleet efficiency. Finally, I am pleased to report that our brand and customer satisfaction continue to shine. Air Transat has been named the world's best leisure airline at the 2025 Skytrax World Airline Awards for the seventh time. This award is based on passenger satisfaction and reflects the unwavering commitment of our teams to placing the client at the heart of every decision we make. Thanks to our team's openness, attention to detail and constant desire to go above and beyond what is expected, Transat continues to stand out from its peers. Looking ahead, we anticipate recent trends to continue over the next few quarters, and we remain cautious in light of pressures on consumer discretionary spending. At this time, we are witnessing softness in our Q4 load factors, which are down 1.2 percentage points compared to last year. Yields are 3.1% above last year, although they are currently trending downward. As we enter our winter season, we continue to see strong demand for South destination supported by a shift in consumer behavior away from U.S. travel. That said, given the current environment, it remains difficult to predict how demand will evolve in the coming months. In conclusion, I want to once again highlight the significant progress made in terms of improving our balance sheet as the refinancing represents a major step forward for the long-term sustainability of Transat. We are also pleased with our results after 9 months. The results show us that we are focusing on the right thing. But we will continue to remain prudent going forward, considering economic and geopolitical uncertainty and a more challenging competitive environment. This concludes my remarks for today. Jean-Francois will now review our financial results.
Jean-Francois Pruneau: Thank you, Annick. Good morning, everyone. Before addressing the quarterly results, let me review a few financial and operational highlights. On July 10, we completed the restructuring of the government debt. This agreement represents a major step forward to substantially deleverage our balance sheet and paves the way for Transat to further implement its long-term strategic plan. As you will hear from the results, this has significantly reduced our total debt at the end of the third quarter and resulted in a onetime gain on long-term debt extinguishment of $345 million. The sale and leaseback transaction for 2 Pratt & Whitney GTF spare engines acquired using credits received as competition for grounded aircraft in 2025 was completed at the end of July. The transaction, valued at USD 45 million, will allow us to increase liquidity while continuing to use spare engines to power our A321 LR fleet. Following quarter end, we used CAD 30 million of the proceeds to redeem 6.2 million Series 4 preferred shares held by the Canadian government for a total amount of $16 million. As a result, the number of outstanding Series 4 preferred shares was reduced from 9.9 million to 3.7 million. The remaining amount of proceeds of $14 million was used to repay a portion of the principal amount of the 2035 debenture held by the government. After these repayments, the government made $30 million available to us in the form of working capital advances, which we subsequently drew upon. As Annick mentioned, the Elevation program delivered its anticipated benefits during the quarter, which slightly contributed to our profitability improvement. These benefits were driven primarily by improvements in our call center operations, savings from reduced external expenses, targeted revenue management strategies and select organizational restructuring initiatives. Now let's take a closer look at our results for the third quarter of fiscal 2025. Revenues amounted to $766 million, up 4.1% from the third quarter of 2024. This growth reflects a 2.6% year-over-year improvement in yield expressed in airline unit revenues and a 1% increase in customer traffic expressed in revenue passenger miles. Following the agreement with Pratt & Whitney, we also recorded a noncash revenue amount of $7 million. Adjusted EBITDA reached $81 million, up from $48 million in the third quarter of last year. In addition to the contribution from Elevation, this improvement reflects higher revenues, increased productivity and a 14% increase -- decrease in fuel prices compared to the corresponding period in 2024. For the third quarter of 2025, the corporation reported net income of $400 million or $9.97 per share compared with a net loss of $40 million or $1.03 per share last year. This year's net income was mostly driven by the $345 million gain on the extinguishment of long-term debt. On an adjusted basis, we had a net loss of $12 million or $0.28 per share in Q3 2025 compared to a net loss of $36 million or $0.93 per share last year. Moving to our cash flow and financial position. Cash flow from operating activities was negative $105 million in the third quarter of 2025 compared to a negative $91 million last year. The variation reflects a reduction in cash flow generated by the net change in noncash working capital balances, partially offset by higher profitability. As for investing activities, CapEx was $30 million, steady from a year ago and proceeds from the sale leaseback transaction in Q3 2025 were CAD 62 million. After accounting for investing activities and repayment of lease liabilities, free cash flow was negative $122 million compared with negative $169 million a year ago. Still, after 9 months, we have generated positive free cash flow of $149 million, which includes 3 Pratt & Whitney sell and leaseback transaction in 2025 compared to $92 million -- totaling, sorry, $92 million compared to negative $20 million in 2024. Turning to our balance sheet. Cash and cash equivalents stood at $357 million as at July 31, 2025, compared to $260 million as at October 31, 2024. Cash and cash equivalents and trust or otherwise reserved mainly resulting from travel package bookings was $306 million at the end of Q3 compared to $485 million as at October 31, 2024, reflecting the seasonal nature of our operations. Long-term debt and deferred government grant stood at $384 million as at July 31 versus $803 million as at October 31, 2024. This decrease essentially reflects our debt restructuring agreement, including the full repayment of the $41 million principal balance of the secured government debt. Long-term debt and deferred government grant, net of cash and cash equivalents, is $27 million, down from $543 million at the beginning of the fiscal year. Additionally, in September, we extended the maturity date of our revolving credit facility to fiscal 2028. As we look ahead to Q4, it's important to keep in mind that last year's revenues included the financial compensation of $34 million related to the Pratt & Whitney engine situation. The amount recorded at that time was significant as it represented cumulative compensation for years 2023 and 2024. In contrast, this year's compensation will reflect only the number of grounded aircraft during Q4. We also anticipate a modest year-over-year decline in capacity in the fourth quarter, resulting in a full year increase of 1% for 2025, as previously indicated. Finally, unlike the first 9 months of the year, Q4 should not benefit as much from the tailwind of lower fuel prices. Conversely, we will take advantage of reduced interest and charges following the debt restructuring, and we expect benefits from Elevation to gradually ramp up. So this concludes my prepared comments. We will now open the call for questions from analysts.
Operator: [Operator Instructions] First, we will hear from Konark Gupta at Scotiabank.
Konark Gupta: On the yield side, first, I guess, you guys pointed out that the quarter-to-date yield is tracking 3% above from last year. And I think you also mentioned that there's a downward trend you are seeing in that number lately. Can you help us understand; a, was the yield in the early part of this quarter, fiscal Q4, was it higher than 3% and that started to kind of taper down? And did you see any benefits from the Air Canada labor disruption that happened in August?
Annick Guérard: Yes. That is brilliant. Just to come back on Q3, the South market has remained highly dynamic throughout the quarter with yields that were up 7% year-over-year, driven by a shift in demand from transborder routes to Sun destination. For Q4, we continue to see strong demand, but with September and October, we are getting into a lower season. So bookings are slowing down, which is normal. As for Europe, in the context of significant capacity increase from competitors on our key markets, and considering the entry as well of a French Bee and -- on Paris and Virgin Atlantic on London, we clearly see disruptive pricing on key markets. We were relatively pleased by our performance so far as we were able to maintain a decent yield and RASM. Now as indicated earlier, if we look at Europe for September and October, pricing from competition has been extremely aggressive since mid-August, and that is why we have been seeing a trend downward on the yields. And as you express, we substantially benefit from AC in August. So our yields went up for a couple of days. Load factors are up to 100% on several flights. So that caused the yields to go up 3% compared to last year, and now we're dealing with more competition for September and October.
Konark Gupta: Okay. That's really helpful. And then in terms of your planning the upcoming winter, I think you guys are expecting 5% to 7% growth in capacity. I understand a lot of that could be driven by the aircraft that's ungrounding after 2 years or so. But do you -- like do you see the demand being enough to support that capacity? Or I mean, do you plan to kind of launch new routes as you said, where you expect to sort of stimulate the market demand?
Annick Guérard: Yes. So as you said, for next winter, the number of grounded aircraft is expected to decrease from 6 last year to 4 to 5 this winter and with the potential further reduction for next summer. So we've done a lot of schedule optimization, and we've launched as well as part of our network program, longer-haul destination that are further enhancing aircraft utilization and driving natural capacity growth. So as a result, we're looking at a 5% to 7% increase this winter. We're still working on the program, so numbers could change a little bit again, but this is what we're anticipating so far. And as for demand, of course, it's still early to have clear visibility, but trends are encouraging so far. We remain cautious as airlines are currently making several capacity adjustments. We are seeing a significant increase on South destination. So -- but we see the same trends as we've seen over the last summer in terms of U.S. demand shifting to South destination. So we are encouraged so far.
Konark Gupta: Okay. And last one before I turn over. On the Elevation program, so congrats on achieving the full benefits. And I think, hopefully, you're expecting some or most of them to show up as we go ahead in the next few quarters. My question on the Elevation now is, I mean, over the last year or so you have clearly made a lot of efforts to realize this $100 million saving. Any changes like on the positive side or negative side you have seen as you hopped on those initiatives, whether from supply chain or, I don't know, from macro or even like any new opportunities that surfaced? Do you see the $100 million as a good firm number? Or do you need to adjust that number as we go forward from here?
Annick Guérard: So far, everything is on target. As we are progressing, we see additional opportunities to improve our overall performance, but we still need to be quantified. But we're very pleased with what we've seen so far. We have -- we now have reached our implementation target with current initiatives in place expecting to deliver the $100 million in adjusted EBITDA by mid-2026. Overall, the majority of the plan initiatives have been implemented. There's a few remaining initiatives are still being rolled up and should be completed by winter. So progress is tracking well against our plan, and we remain confident of the final results.
Jean-Francois Pruneau: If I may add just one comment on that in terms of modeling and financial modeling, I should say. It's not a linear path, obviously. So the way to look at the initiatives and the benefits hitting our P&L, it's not going to be linear. So I think it's going to be accelerating over time and more back ended. But as Annick mentioned, we remain very, very confident about the $100 million being generated by mid-2026.
Operator: Next question will be from Kevin Chiang at CIBC.
Kevin Chiang: Maybe just following on some of the questions Konark have asked. I guess if I think of the 5% to 7% capacity growth next year, is there a way to break that down between how much of that is like from haul driven? It sounds like reduced grounding of some of these aircraft will provide that opportunity versus how much of that 5% to 7% is just increased capacity into existing markets? I'm just trying to get a sense of if the length of haul is a bigger contributor to that 5% to 7% growth?
Annick Guérard: Most of the increase comes from less grounded aircraft and due to Pratt & Whitney engine issue. So we're going to have 2 additional aircraft, the A321 LRs, and this is what driving capacity up. So I would say that accounts for maybe 75% of the increase. The other 25% is around having changed our program or optimize our program to increase aircraft utilization. As we said, we deployed more long-haul routes. We are using more aircraft as well in a period that we were not necessarily using them last year. So it's based on our ongoing commitment to increase overall productivity from an aircraft perspective, but people perspective as well. We want to make sure that we optimize overall operation, making sure we maximize our crews, maximize our aircraft utilization, and that -- this is what's bringing the capacity up.
Kevin Chiang: Okay. That's helpful. And just maybe on the competitive environment, it sounds like some of the increased competition you've seen in the transatlantic market in -- maybe in the recent months reflects increased competition from European carriers, it sounds like European lower-cost carriers. Just wondering as you look into the winter season, are you seeing a similar competitive dynamic emerge where Southern carriers may be looking to take advantage of the shift in Canadian travel dynamics here as Canadians travel more towards Sun and -- more towards Sun destination markets outside of the U.S.? Just wondering if you're seeing something similar in the winter season as you saw in the summer season here from some of your foreign competitors?
Annick Guérard: Well, we're definitely seeing increased capacity to South destination from Canadian carriers overall. We're looking at the 10% increase if we consider all the major players. So we are increasing our share as well counting on where we anticipate that demand will be. So it's going to be competitive. But again, I think it's pretty much in line with demand that we're seeing so far. The U.S. demand is down. And as we are looking into our booking curve right now, looking at yields and load factor, we're pretty confident that the market is going to be able to digest this capacity increase.
Kevin Chiang: Okay. That's helpful. Maybe just a last one for me. Again, congratulations on getting through the Elevation program. It felt like a lot of the Elevation program was focused on kind of improving the optimization of your organizational structure, so a lot of cost initiatives. I guess what's next after here? I guess I've always thought that you've had an opportunity from a revenue perspective, whether it's improving your yield management, whether it's maybe looking at loyalty programs. Just wondering, as you've kind of completed Elevation, is there an opportunity here to maybe address some of the lower-hanging fruit from a revenue management perspective?
Annick Guérard: The revenue management initially is our part of the -- or at the center of the Elevation program as much of the cost-cutting initiatives. So it's -- we started working on the revenue management initiatives back at the beginning of the year, around January, and it's been progressing very well. We started seeing some results this quarter. It's going well. It's been encouraging, as we've discussed in the past. There's about 5 to 6 initiatives being implemented to maximize the algorithms, to maximize the modernization, the program. We've got help from specialists as well. We finalized [indiscernible] implementation. So it's really at the core of the Elevation program as well. So things are going well on that side.
Operator: Next question will be from Cameron Doerksen at National Bank Financial.
Cameron Doerksen: I wonder if you can talk a little bit about what you're seeing from a consumer behavior point of view. It's one of the things you've kind of highlighted here is some, I guess, shifts in consumer behavior and I guess the maybe some consumer concerns around the economic backdrop. I mean what can you kind of point to that gives you, I guess, maybe a little bit of concern about the ability for the consumer to continue to travel?
Annick Guérard: Well, we see a little bit more last-minute demand. We've been seeing this for the last, I would say, 6 to 9 months. So people hesitate a little bit. There's a little bit less confidence maybe in terms of economic trends. We'll see what's going to happen for next year. Economy seems to be confident that things will improve in terms of the consumer sentiment for next year, but this is something that we're watching very carefully as our customers, of course, spend on discretionary budget. But we're not too -- I would say we're pretty much positive right now in what we see.
Cameron Doerksen: Okay. That's helpful. Second question, I guess, on your relationship with Porter. Just wondering if you can update how that's kind of progressed through the summer and I guess the fee traffic that they provided to you. But I also wanted to ask, I guess, a bit about some of the new routes they've announced back in June to Sun destinations, some of which look like they may overlap with traditional Transat markets to the Sun. So I'm just wondering how -- I guess, how you kind of work with them to avoid competing with each other?
Annick Guérard: Yes. So, so far, for fiscal year 2025, we were able to capture a little bit more than 160,000 connecting passengers between Air Transat in the Porter, representing 3.4% of our total traffic. The target is set at 4% right now. So revenue generated was up 20%, a little bit more than 20% compared to last year. So we were very pleased about that, and we continue to align our networks, align our pricing strategy to maximize connecting flights. As for the South program, as you said, in June, Porter unveiled their first flights to Mexico, the Sun destinations, different Sun destinations for next winter. Their program was coordinated under the terms of the joint venture, complementing Transat's existing offering. So we're all doing this collaboration making sure that we maximize our footprint on Sun destinations.
Cameron Doerksen: Okay. No, that's helpful. So you're basically working in conjunction with them to, I guess, offer the best schedule that you can between the 2 airlines?
Annick Guérard: Yes, exactly.
Operator: Next question will be from Benoit Poirier at Desjardins.
Benoit Poirier: Just to come back on Porter, really nice to hear that you're been able to grow. Any impact from the sharp decrease we saw between Canada and the U.S. travel, or they've been successful to replace the capacity elsewhere?
Annick Guérard: Yes. Well, the -- of course, the connections to the U.S. have declined, but this segment is not a major component of our overall connectivity. The majority of connecting traffic continues to come from Canadian routes. So connecting their national domestic network to -- with our European network. So difficult to pinpoint the exact impact on Porters, but they've been able to adjust the network schedule to maximize the connecting passenger with us.
Benoit Poirier: Okay. That's great. And just talking about partnership, Annick, you've announced a nice partnership with Turkish Airlines back in June. So I think it will start from Toronto to Istanbul in December 2025 on a weekly basis twice. So could you maybe provide more granularity about the expectation? How sizable could be the partnership for you down the road?
Annick Guérard: Yes. So it's a first season for us. It's the beginning of a new relationship. So we have -- there are mutual commitments. We want this to be successful. We've operated Turkey in the past. So we pretty know how successful factor to this route. The partnership we anticipate will grow over time. We start small, but we have the ambition to make this stronger.
Benoit Poirier: Okay. Okay. And could you also maybe provide an update on the potential you see at the Saint-Pierre airport with Porter? And also if you could give an update on the loyalty program rollout that would be great?
Annick Guérard: Yes. In terms of Saint-Pierre, we don't expect to operate the Saint-Pierre. So that's pretty clear on our side. It doesn't fit with our network. So that's going to be a separate business for Porter. As for the loyalty program, it remains a key strategic project for us given its strong value creation potential. It will provide for a strong leverage to develop airline, but also non-airline partnerships, and of course, we want to increase customer loyalty. So we aim to launch towards the end of fiscal 2026. That was the calendar. We're still on that calendar, and we are currently integrating the program with the selected financial institution and working and offering a strong ecosystem. So things are going very well. And again, it's part of our priorities for 2026. It's been a priority for 2025, but it takes time to develop such a program, but we will be really ready to launch in '26.
Operator: [Operator Instructions] Next, we will hear from Tim James at TD Cowen.
Tim James: I just want to return to the Porter discussion for a minute. And I'm wondering if you could talk about sort of going forward remaining opportunities, initiatives that you have with Porter. For example, them potentially selling packages down the road, which I think might be an opportunity, which they would do with your assistance and expertise. Just if you can remind us what are sort of the remaining kind of building blocks in that partnership?
Annick Guérard: Yes. Well, as we are growing, of course, developing into domestic, in the U.S. as well, we are aligning more and more our schedules, our network to optimize and maximize connecting passengers. So that's our first goal. In terms of South, the South destination, as we said, they are launching their routes this winter, and we are doing this in coordination to maximize the impact in the -- on South destination. Looking forward, and we've talked about this, when we launched the joint venture, as part of the agreement, there is a piece where we will act as a tour operator for Porter Airlines. So these packages will be branded under Transat brand, but operated with Porter flights. So that's part of the overall joint venture agreement. It's not for this upcoming winter, but should be in place for next year.
Tim James: Okay. That's helpful. And will there come a time really when basically all Transat flights and Porter flights are sort of part of the joint venture? Is that -- or that passengers can connect from 1 airline on to the other? I mean, is that -- I don't recall where Europe is at on that front, but is that the ultimate goal eventually?
Annick Guérard: What we're looking at right now is to maximize the agreement. We want to grow more connections together. The final state, I think it's still to be determined depending on the performance that we see. We need to adjust. Sometimes, we create value -- sometimes, we create value together, sometimes better to stay apart. So -- in terms of flight. So as we move along, we analyze the performance and we adjust.
Operator: And at this time, we have no other questions registered. Please proceed.
Andrean Gagne: Thank you, Sylvie. Thank you, everyone. As a reminder, our 2025 fourth quarter results will be released on Thursday, December 18. Thank you, and have a good day.
Operator: Thank you. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we ask that you please disconnect your lines.